Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Jumia's Results Conference Call for the First Quarter of 2020. At this time, all participants are in a listen-only mode. After management's prepared remarks, there will be a question-and-answer session. I would now like to turn the call over to Safae Damir, Head of Investor Relations for Jumia. Please go ahead.
Safae Damir: Thank you. Good morning everyone. Thank you for joining us today for our first quarter 2020 earnings call. With us today, are Sacha Poignonnec and Jeremy Hodara Co-Founders and Co-CEOs of Jumia; as well as Antoine Maillet-Mezeray, CFO. This call is also being webcast on the IR section of our corporate website. We will start by covering the Safe Harbor. We would like to remind you that our discussions today will include forward-looking statements. Actual results may differ materially from those indicated in the forward-looking statements. Moreover, these forward-looking statements may speak only to our expectations as of today. We undertake no obligation to publicly update or revise these statements. For a discussion of some of the risk factors that could cause actual results to differ from the forward-looking statements expressed today, please see the Risk Factors section of our [indiscernible]. In addition, on this call, we will refer to certain financial measures, not reported in accordance with IFRS. You can find reconciliations of these non-IFRS financial measures to the corresponding IFRS financial measures in our earnings press release, which is available on our Investor Relations website. With that, I'll hand over to Sacha.
Sacha Poignonnec: Thank you and welcome everyone. Thanks for joining the call. Before diving into Q1 of course, I would like to give some context on how COVID-19 is affecting our business so far and the actions that we have taken in response to that. The COVID-19 is bringing a complex combination of health, economic and operational changes. First, I want to start by acknowledging the hard work of our teams working on the frontlines caring out essential duties and in particular those in our warehouses and delivery house. Our mission of facilitating consumer’s access to goods and services helping sellers reach those consumers in a seamless way, while making a positive impact on the African continent has never been more relevant. And in these difficult times, we think that we had a crucial role to play, helping the consumers and communities we served stay safe and as much as possible functioning through the crisis. We are also hopeful that it will accelerate and help accelerate the long-term shifts towards e-commerce. Let me walk you through how we have adapted to the situation, as well as the business impact that we have observed so far. I'm now on Page 3. Our number one priority has been and remains the health and safety of our team, consumers, and community. We took rapid action to adjust all our operations. We implemented work from home across all our offices. We took actions to operate our logistics infrastructure in accordance with high standards of safety and hygiene. Measures we put in place includes setting up separate team shifts, checking employees temperature, sanitizing facilities several times a day, we required the use of masks and gloves, as well as sanitizers for the handling and delivery of the orders. And all members of our warehouse staff and our delivery partners were trained on all the best practices of personal hygiene and social distancing. We have also facilitated social distancing, of course by implementing contactless safe delivery, which has been enabled [property] by JumiaPay, which allows consumers to prepay their orders online and have been delivered without the need for cash exchange or physical contact with the delivery agents. Again, making those changes has been a huge task and we are incredibly grateful to our colleagues and delivery partners working on the frontline. Moving on to Page 4, we launched a broad effort to our consumers and communities celebrate and thank what we call the JumiaHeroes through the social media campaign after the week after launching it, the #JumiaHeroes was already trending on social media. We also established the solidarities fund for our JumiaHeroes, which is funded completely voluntarily by Jumia employees and [confidentially by] staff contributions. And more broadly in these difficult times, we think that we have a responsibility to support our communities leveraging our assets. Thanks to our team and cross border platform in China, we were able to donate half a million masks. Through health ministries across Africa for use by health workers, you can see in the right side of the page a few pictures of the delivery meetings. And we've done that across multiple countries. We also supported local governments in nine countries with pre-educational campaigns on our platform to help consumers access reliable health and safety information and the campaign was setup within 48 hours, and generated over 5 million impressions to date. This is also what we are [about making] people's lives easier and contributing to the community not only during good times, of course, but during also challenging times. Now, in terms of business impacts, if you turn to Page 5, we have seen a combination of short-term supply and logistic challenges and positive impacts/unique opportunities for the long-term. Most of these trends of course, emerged in the final half of March 2020 and they're not yet fully reflected in the Q1 results that we are publishing right after that, but we expect those impact to continue playing out in the couple coming quarters.  So, on the one hand, we see certain challenges on supply and logistics in some parts of the business. On supply, the cross-border operations were disrupted from manufacturing shutdown in China. This supply chain disruption in China also impacted some of our local sellers, especially those who source their goods from China, in consumer electronics, phones, fashion category, and we also faced cross-border logistics challenges due to country locked down, which had impacted the cargo operations. At local level, the confiner’s measures restrict seller operations. So, in some areas, some sellers do not even have physical access to their inventory. In some areas, the confinement measures prevent them from dropping their packages through the junior logistics. In some countries, many of the restaurants that simply closed until further notice. Then on logistics, we are facing capacity limitations, which of course affects our ability to fulfill consumer demand. We have curfews in many countries, which are impacting the operating hours and of course, in turn [constrained] the delivery capacity. In South Africa, for example, the deliveries of fashion items were just completely suspended for a few weeks. And overall, the implementation of the safety measures, which I mentioned in our warehouses, like [indiscernible] or safety dispensing are leading to reduced order processing capacity. Those are the challenges. Then on the other hand, of course, we are seeing unique opportunities for long-term, e-commerce and payment adoption. More and more sellers are embracing e-commerce and are keen to join Jumia because of course offline distribution channels are disrupted. We are seeing unprecedented demand from brand and sellers. And since March we have started to announce many new partnerships, including with household care and FMCG brands, like Reckitt Benckiser, Unilever, P&G, Nestle, Coca Cola. On Jumia food we see grocery and convenience retailers very eager to join our on-demand platform, which has the logistic infrastructure to complete deliveries in less than 45 minutes. We also did some partnerships to deliver fresh foods. On the demand front, we have seen a surge in demand for all the essentials starting of course the second week of March and the grocery category have experienced a big full time increase in terms of items sold compared with last year. And we hope of course that those dynamics will help accelerate the consumption shift towards online. This demand is also helping us generate sales and advertising efficiency. On the advertising front and the advertising revenue front, we've seen resilient demand, as the advertisers favor direct response online channels that can deliver measurable results. And last but not least, the launch of contactless safe delivery is helping us to further promote JumiaPay, which provides an opportunity to drive long-term payments adoption. So, now if you turn to Page 6. You can see on this page a few illustrations of those demand and supply trends. Here you have a weekly evolution of items sold for selected parts of the business over March and April and the data has been rebased to 100 starting in the first week of March. So, you see on the black line at group level, we ended the month of April, about 3% above the first week of March, and you can see that there's some negatives and some positives. Food delivery was and continues to be affected by the fact that many restaurants are just closed right around – across many of our geography. We managed to launch a number of convenience grocery stores, but it remains very effective. In South Africa, we closed all deliveries and we're starting to see now some recovery, some recovery as the deliveries are resuming on certain apparel categories. In Nigeria, the confinement measures had a big impact on our sellers and their ability to bring their packages to us. A lot of our top sellers simply stopped operating for a few weeks and you can see that since then part of the sellers have resumed their activities, some partially some entirely, and volumes have gradually picked up. Right. And by the end of April volumes, were almost back to their early March level. On the other end of the spectrum, you have countries like Morocco or Tunisia here that we have put as examples where we are experiencing and we had experienced a surge in volumes picking mid-April, had more than twice the volumes of the first week of March and throughout April, we continue to see volumes at least 40% above the levels of early March. And of course, those volumes are also somewhat constrained by the logistic capacity challenges, which I mentioned before. So again, here, you see some positives and some challenges. Of course, we're going to continue to adapt to the situation as it continues to develop, and overall we think that we are very well-positioned to become even more relevant to consumers, sellers, and to the broader communities in the coming months. And if you turn to Page 7, we can see here the highlights of Q1. Our strategy, as you all know, is based on four pillars; grow the usage of Jumia, drive the penetration of JumiaPay, increase monetization, and to do all this while improving cost efficiency. In 2019, we have started to focus on what is proving to be crucial to navigate the current situation. The focus on everyday product categories is supporting usage and consumer adoption. While all the actions we undertook on the cost are starting to [pay off], as we're making progress on our path to profitability. Annual Active Consumers reached 6.4 million and orders grew 28%, and this is why our sales and advertising expense decreased by 25% over the same period. JumiaPay pay grew very strongly in volumes and transaction terms TPV increased by 71%, and transactions by 77%. On monetization, marketplace revenue grew 22% and gross profit 21%. And on cost, gross profit after Fulfillment reached a record 2.5 million and our adjusted EBITDA loss decreased by 10%, compared with last year, which is the best level in absolute terms in the past six quarters. So with this, I'll pass it on to Jeremy, who will walk you through our Q1 performance in more detail.
Jeremy Hodara: Thank you, Sacha, and hello everyone. If you'd like to join me on Page 9, please. Let's take a closer look at our top line growth dynamics. We decided to rebalance our business mix last year, and we further accelerated the shift in the first quarter in light of the changes in the demand as a result of the COVID-19. As part of the business mix rebalancing, and to support our path to profitability, we decreased the promotional intensity and consumer incentives under lower consumer lifetime value business, and in parallel we increased our focus on everyday product categories to drive long-term consumer adoption and usage. Looking at the GMV growth trends on the chart on the left hand side, what we see is that the majority of product categories for GMV growth are both 20%. Phone and accessories and to a lesser extent electronics were affected by enhanced promotional discipline as part of the business mix rebalancing. The mobile phone category was also affected by the scaling down of the mobile week's promotional campaign in certain markets also as a result of the COVID-19 supply disruption. The suspension of all the processing and delivery at Zando, our fashion platform in South Africa due to strict confinement measures negatively impacted the fashion category. In terms of items sold, we have seen consistent growth across all product categories with the exception of mobile phones. Volume growth was particularly strong in the FMCG categories, which surpassed 80% year-over-year, and as mentioned by Sacha earlier, growth of the grocery category further accelerated in the last 15 days of March as the confinement measures were put in place in a number of countries. Moving on to our top line growth drivers at group level on Slide 10. We see the GMV was €190 million down 11% year-over-year, reflecting the effect of the business mix rebalancing combined with the COVID-19 related supply disruption. The annual active consumers reached 6.4 million at 61% year-over-year, and the others were at 28%, reaching 6.4 million in Q1 2020. And our focus remains on driving consumer adoption and usage. Let's now look at how we have been driving the usage in the time of COVID-19 on Page 11. In order to drive the usage, [featuring] supply of essentials and priority categories, has been a major focus for us in the latter part of the quarter, Q1. As part of these efforts, we launched the stay safe campaign in partnership with Reckitt Benckiser to give the consumers access to hygiene and sanitary products at attractive prices. As part of the campaign, Reckitt Benckiser [indiscernible] free shipping while we are waving commission on the relevant products. We have also seen a surge in demand from sellers and branding particular join the Jumia platform and we have prioritized on-boarding of centers offering critical product categories. We launched a number of partnerships, covering multiple countries with high profile FMCG brands, such as Unilever, P&G, Nestle, Beiersdorf, Coca-Cola. We have also further solidified our partnership with Carrefour with [indiscernible] in Nigeria. And in Kenya, we announced a partnership with Twiga Foods, which connects producers and farmers with vendors offering our consumers online access with fresh produce directly from farmers. In terms of merchandising, we launched curated product collections, targeting specific needs resulting from confinement measures. For example, you know they include the stay fit at home collection, featuring sports and fitness products. From entertainment collection, including children games, toys or the Tik Tok lovers collection featuring [phone and accessories], as a result of increased reliance on social media and video to connect with each other. And lastly, on the social media front, we seek to engage our consumers with Facebook Live content. We launched the “Stay entertained with Jumia series with live music streaming events and DJ sets in a digital party format, notably in Ghana, in partnership with various brands including MTN, Pernod Ricard and KFC.  Let's now move on Page 13 to look at our progress on JumiaPay. In Q1 2020, we continued expanding the reach of JumiaPay while launching relevant features and payments used cases for consumers. We launched JumiaPay in Tunisia. JumiaPay now live in seven countries, Nigeria, Egypt, Morocco, Ivory Coast, Ghana, Kenya, and Tunisia. Also, our contactless safe delivery campaign was partially leveled by JumiaPay to remove the need for physical contact or cash exchange at delivery, we encouraged consumers to prepay orders online using JumiaPay and we rolled-out a Pay on delivery feature leveraging JumiaPay. And lastly, we launched new consumer used cases as part of the JumiaPay app. To support the fight against COVID-19, we introduced a direct donation system enabled by JumiaPay app, covering five relevant charities in each country. And as part of the home entertainment theme, we launched a number of games on the JumiaPay app including Free Fire, PUBG, Fortnite, and League of Legends. Consumer can purchase game subscriptions or credit for in-app purchases on our app. Now, if we move to Page 14, on the performance of JumiaPay in Q1 2020. JumiaPay TPV increased by 71% year-over-year, reaching €35.5 million euro. This takes on-platform penetration as a percentage of GMV from 9.7% in Q1 2019 to 18.7% in Q1 this year. If we move to Page 15, the JumiaPay growth trends are even stronger on a transaction basis. The number of JumiaPay transactions increased by 77% year-over-year. This led to an increase in the on-platform penetration of 35.5% of orders in Q1 2020 up from 25.5% in Q1 2019. The strong growth of JumiaPay was partly attributable to the ramp up of JumiaPay operations in Ghana and Morocco which were newly launched in the first quarter of 2019, and Kenya where we launched JumiaPay in the second quarter of 2019. It was also a result of increasing penetration of JumiaPay in the countries where it was already live in Q1 2019, driven by continued consumer education around payment and enhancements of the JumiaPay value proposition. I now hand over to Antoine who is going to walk us through our financial performance updates.
Antoine Maillet-Mezeray: Thank you, Jeremy. Hello, everyone. We are now on Page 17. In parallel with growing usage and consumer adoption of our platform, we seek to monetize this usage and transactional activity in a granule manner. Marketplace revenue reached €19.1 million in Q1 2020, a 22% year-over-year, while gross profit increased by 21% over the same period. Let's now take a look at our various Marketplace revenue streams on Slide 18. Commissions, which are fees charged to our sellers, increased by 35% year-over-year. Commissions grew despite GMV reduction, thanks to the category [indiscernible] balancing enhanced promotional discipline and a reduced [indiscernible] of consumer incentives, which are partly accounted for as deductions from commission revenue. Fulfillment, which comprises delivery fees charged to consumers increased by 29% in the first quarter of 2020 on a year-over-year basis in parallel with orders growth. Value-added services, which includes revenue from services charged to our sellers, such as logistics services, packaging or content creation decreased by 3% in the first quarter of 2020, on a year-over-year basis. This was largely a result of a sharp reduction in international logistics revenue starting from February, as our cross-border business was affected by the manufacturing facilities shut down in China, and cargo disruption. Here, I would like to point out that we made changes to the pricing of Jumia global products, which will cause a shift of a large part of international logistics revenue from the value added services accounts to the fulfillment of new accounts. Marketing and advertising, which corresponds to the revenue generated from the sale of a diversified range of ad solutions to sellers and advertisers, increased by 34% in Q1 2020 on a year-over-year basis. While marketing and advertising revenue grew by triple digit rates in the first two months of the quarter, compared to the previous year, March 19 was marked by large marketing contributions as part of last year's mobile week, which was scaled down this year as a result of the COVID-19 outbreak. To wrap up on the monetization front, we’d say that this is a path of our business which has been quite sensitive to the COVID-19, partly due to the impact of our cross-border business. We have also been careful not to increase monetization pressure on our sellers, as we are conscious of the challenges they are facing in the current environment, and we also want to avoid any detrimental impact that an increasing monetization may have on prices for our customers. Let's now move on to the progress on cost efficiency. This has been an area of strong focus for us [since 2019], and one where we see our efforts starting to bear fruit. As a reminder, we have three main costs in our P&L. Fulfillment expense, which is largely viable, sales and advertising expense, which is discretionary to a certain extent, and general and administrative expense. Let's start with fulfillment expense, Slide 20. We are pleased to report another quarter of positive gross profit after fulfillment expense, reaching €2.5 million in Q1 2020, compared to breakeven in Q1 2019. If we look at our fulfillment expense in absolute terms in Q1 2020, compared to Q1 2019, we see an increase of 5% while orders increased by 28% over the same period. This was partly due to a lower proportion of cross border packages, which reduced our overall freight and shipping expense per package. Our second main cost component is sales and advertising. I am now on Slide 21. Sales and advertising expense decreased by 25% in Q1 2020, reaching €8.9 million, which is the lowest level in almost 12 quarters, while orders increased by 28% year-over-year. The reduction in sales and advertising expense was partly driven by [indiscernible] to adjust demand to supply and logistics constraints, as well as a focus on our path to profitability. Sales and Advertising expense per Annual Active Consumer decreased by 26% from €11.1 per Annual Active Consumer in the first quarter of 2019 to €8.2 in the first quarter of 2020.  We have made a number of enhancements to our performance marketing strategy across search and social media channels allowing us to acquire new users and drive conversion in a more effective manner. We also improved the performance of our CRM channels via cross-selling initiatives aimed at driving repeat purchases based on the purchase history of consumers. Finally, our third major cost area is technology and G&A. I’m now on Slide 22. Our technology and content expense increased by 22%, compared to the first quarter of 2019 as we continued investing in our tech infrastructure. G&A, excluding SBC, reached €24.4 million, up 4% compared to the first quarter of 2019. Here, I would like to point out that the first quarter of 2019 did not fully reflect a number of organizational enhancements made in the course of 2019 to operate the business as a listed company. We therefore believe that the amount of G&A expense, excluding SBC of the fourth quarter of 2019, is a more relevant comparative base for the first quarter of 2020. G&A expense, excluding SBC and restructuring expense, was €31.7 million in Q4 2019. In Q1 2020, G&A, excluding the SBC expense decreased by 23% or more than €7 million compared to Q4 2019, partly due to staff costs and professional fees savings. As a result of increased usage, monetization and cost efficiencies, our unit economics are improving and we are making progress on our path to profitability. I’m now on Slide 23. Our adjusted EBITDA loss decreased by 10% year-over-year, reaching €35.6 million in Q1 2020, the lowest level in the past six quarters. The business mix rebalancing we undertook alongside cost discipline is paying off and driving clear improvement in our unit economics. On average, we have smaller size, but more profitable orders. On the table on the right hand side, you can see that why our average order value decreased by 21% from €42.5 to €29.5. The order contribution or gross profit minus fulfillment expense on the per order basis, moved from breakeven to €0.40 per order in Q1 2020. Our sales and advertising expense per order decreased by 42% to €1.4 per order, while tech and G&A per order decreased by 16% to €4.9. As a result of these efficiencies adjusted EBITDA loss per order decreased by 29% from €7.9 to €5.6 in Q1 2020. We are pleased by the progress in the unit economic fronts, which illustrates our progress to our profitability. Moving on to Page 24, our path to profitability is further supported by our asset-light business model. CapEx in Q1 2020 was less than €0.5 million as we operate Jumia Logistics as a platform with very limited CapEx requirements. Net change in working capital resulted in an outflow of €5.9 million during the quarter, mostly due to a shorter payable cycle. As a result of these features, our adjusted EBITDA is a close proxy for cash utilization and the delta between operating cash flow and adjusted EBITDA was approximately 10%. Finally, at March 31, 2020, we had €191 million of cash available.  With that, I'll hand the call back over to Sacha.
Sacha Poignonnec: Thank you very much. And just a few remarks before we open to Q&A. Of course, the current situation is challenging in many respects, but it also gives us even more confidence on the relevance of Jumia, e-commerce and online payments in Africa. When we look ahead, one, we think that for some time there will often be here and there some level of supply and logistic disruption, but we have a lot of levers to navigate them and we also expect them to be more short-term and somehow eventually resolved. Two, we are preparing for potentially very tough economic times ahead. You already know that we started many actions last year, the portfolio optimization, exit from travel, [three] countries, cost reductions, promotional discipline. And in a way, this is very good for us because we are somewhat ahead of the curve from that perspective and I want to say that we have not stopped our efforts and cost discipline and expense reduction and we have continued to carry on some actions already in Q1. Three, during those challenging times, combined or not with the need for social distancing or sometimes periods of confinement, we have seen consumers turn to Jumia as we strive to give them the best prices and a very convenient and safe experience and we believe that this – you know will continue and we will continue to see strong consumer adoption and usage. And four, similarly on the seller side, we have already started seeing unprecedented demand to join the Jumia platform and especially from big brands. And this is of course, very good for us because it enables us to bring more choice and selections which helps consumer adoption and also to drive the trust on Jumia. We believe those dynamics will help accelerate the shift towards online on both the demand and supply sides, which again, gives us a lot of confidence in the relevance of the company and for Jumia in Africa. We remain committed to reducing our adjusted EBITDA loss in absolute terms in 2020 while driving consumer adoption and usage. And now I want to thank you for your attention and we are ready to open up the call for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And today's first question comes from Mark Mahaney with RBC. Please go ahead.
Mark Mahaney: Okay, let me try two things. One, the trends that you're seeing at the end of the last quarter and into this quarter in Morocco and Tunisia looks so different than what you're seeing in your overall company in the other markets. Could you explain, again, why you would see a surge in what looks like an order volume and specifically in those two markets versus the others? And then secondly, could you just, again, address the liquidity issues for the company? It sounds like you're able to bring down – your goal is to bring on EBITDA losses for the full-year. Do you think you've got enough? How far do you think the existing cash can take you? How do you think about what an appropriate, you know, minimum level of cash you need to have in order to run the business with confidence? Thank you.
Sacha Poignonnec: Thanks Mark. On the first question, you know, here we’ve put four of our geographies as well as the Jumia Food business, right, or category or service. And here is more of an illustration to show that we have some positives and some negatives, and where we see the positives is because there's a combination of confinement measures, but which are not disrupting the supply in a way in which is detrimental to addressing this demand, right? So, pretty much everywhere and that’s the demand is there, right? But the question is more the ability for the supply and to some extent, the logistics and payments to fulfill that demand.  And in Morocco and Tunisia, we have typical examples of situations where we have the demand and the supply and the logistics, which are working together. And in Nigeria, we have a very big disruption in supply. So, if you have a very big disruption in supply, then of course, you know, you can't generate the right level of demand. And so, this, you know, surge in those two countries is really driven by the combination of those elements. And let me know if that answers your question? On the second one, you know, you have seen our cash level. We have about €190 million, where we have made very clear that we want to drive gradual reduction and a clear trend in the reduction of our cash burn on a quarterly basis and the same for the adjusted EBITDA loss. I think you see already in Q1 that some of the choices that we have made are starting to pay off. And for now, that's what – you know that's what we comment on. And then, we continue to be committed to the strategy which will drive the lower cash burn on a quarterly basis and trend towards profitability. And that's where – you know that's where we'll take it. 
Mark Mahaney: Sacha, one follow-up, do you have visibility into when some of those confinement measures will change and supply challenges you're seeing will be lifted in some of your other, you know, larger – in some of your larger markets like Nigeria? Are conditions on the ground improving enough that it looks like the confinement measures that affect your supply base are going to be changed this month or next month, any visibility there? 
Sacha Poignonnec: Yes. And you can see already on the chart, at the end of April, Nigeria was almost back at the level of the beginning of March, right? And so, already a number of – you know a number of signs were happening and we're driving the business back to normal. I think here maybe it’s worth that I sort of tell you the type of actions we do to secure the supply, right? And there's a large number of actions that we're doing. One is that we are strengthening the partnerships with the big sellers and the big sellers tend to have more, you know, stock, more inventory and stronger operations. Two, we're leveraging Jumia Express, our own warehouses, where we can store the goods from the sellers. So, as soon as the sellers can access the inventory, they can put it on Jumia Express. Three, we can do retail. As you know, we have the ability to do [1P] and sometimes we decide to engage into [1P], especially if we want to secure the supply, and in some cases, that can be very helpful. We have multi-warehousing capabilities. Sometimes in the countries you have transportation between regions, which is disrupted. So, it's very interesting to locate some of the Jumia Express inventory in the region where the consumers are ordering from.  We have a lot of new big sellers and big brands, which are joining, which is also bringing that. And, you know, we have a multi-category approach, a multi-country approach and because we are a marketplace, we have, you know, dozens of thousands of sellers that we can go to. So, in a way, you know, we are leveraging and pulling a lot of levers to drive both minimal disruption and using all the tools and the levers we have to minimize the disruption. If there is disruption, the good news is we are – we have so many countries that when a country is down, well, there's a country which is up, right, which is the benefit of being Pan-African, multi-category, a marketplace because when parts of the business is suffering temporarily, then you have another part which is doing well, which is one of the big benefits of our platform, which is somehow not de-risk it completely, but we have a lot of – you know we have a lot of levers to de-risk it. 
Mark Mahaney: Thank you, Sacha. 
Operator: Our next question today comes from Aaron Kessler with Raymond James. Please go ahead.
Aaron Kessler: Great. Thanks, guys. Maybe just a couple questions, first is maybe on engagement or consumer engagement, if you could talk a little bit to traffic you've seen, maybe app downloads, just trying to get a sense for kind of how consumers are responding in terms of that demand? And then, maybe on the expense side, should we kind of think about Q1 as kind of a base level? Or is that not fully reflected? Should we expect a further kind of reductions in kind of Q2 and as we think about expense levels throughout the year as well? Then third, just any update on Egypt? Obviously, with, I think, your second biggest country, if you can provide any updates on Egypt as well? Thank you.
Sacha Poignonnec: Yes. Thanks, Aaron. On the first one, definitely, you know, we've seen engagement curves in terms of traffic, app downloads, which are similar to the – you know somehow to the curve of items sold. So, where the demand has been surging, of course, it's been also coming together with a very strong engagement, very strong app download and overall, you know, a lot of good dynamics on traffic and engagement. I think we have that situation pretty much everywhere. People are turning to online and they're looking for solutions. And, you know, this is overall driving a lot of goods engagement and we are seeing, most importantly, I think you're seeing this from the number. Those are happening at really very good marketing efficiency levels, right, because you can always – you have to always look at the growth of the usage together with the evolution of the sales and advertising expense, so I think here, definitely the engagement is helping a lot.  If you take our expense levels, you know, we have three types of expense, fulfillment, sales and advertising and G&A. The fulfillment, to some extent, it will depend on a lot of factors whether the cross-border business will, you know, come back or stay where it is, and whether, you know, more pickup stations or more door delivery and all those factors, right, that we explained. What matters here is that we are able to pass a healthy part of those expenses to the consumers and to the sellers. And if you look at the evolution of fulfillment expense together with the evolution of fulfillment revenue and value added services, you can see very healthy development. So in a way, we will continue to capture some efficiency at fulfillment level and we will continue to see a healthy pass-through. So, in this, we're very confident. On the sales and advertising, you can see a sharp reduction in absolute terms and I think if we continue to see that level of engagement, which is somehow very organic, we're going to take advantage of that, but of course, continue to invest. So here we will drive that, I would say, quite tactically and depending on what we see. And, you know, for example, the moment the restaurants can open back, well, we would be very happy to invest more and more sales and advertising to drive the consumer back to the platform. So, again, with – you know this is a very discretionary investment, so we will drive it based on the traction that we see and the level of engagement that we want to drive. And then, in terms of G&A, we are still to see here some benefits on some of the actions that we have done. So, on this one, we can confidently see those G&A to continue to reduce, but you know, at moderate speed, right, to the goal of – you know for our strategy to keep G&A as stable as possible maybe to see a trend, a downward trend, but most importantly, is to drive the growth of the usage and monetization.
Aaron Kessler: Great. And just lastly on Egypt, any update there on the performance of Egypt?
Sacha Poignonnec: Oh, yes. On Egypt, Egypt is in the upper part of the chart. So, it's – you know it's doing well and it's benefited from good trends. So, it's a country which is – you know which is closer to the blue and the red than the green and the orange.
Aaron Kessler: Okay, great. Thank you.
Operator: Our next question comes from Sarah Simon with Berenberg. Please go ahead.
Sarah Simon: Yes, hi. I've got a couple of questions. One was for – well, two of that for Antoine. Antoine, can you just remind us what you were saying about the shift of revenue between – out of Jumia Global logistics that were coming of value-added services? I didn't really understand that bit. That was one. And then, the second question was on competition. Sacha, obviously, some of your competitors are single-country players and I'm just wondering whether you think that through this process, those single-country players are losing market share to you and how you see the competitive landscape at the moment relative to kind of pre-COVID? Thanks.
Antoine Maillet-Mezeray: So, maybe Sacha, can you take the first one …
Sacha Poignonnec: Antoine, do you want to take the first one, please?
Antoine Maillet-Mezeray: I was not able to hear it, sorry. The line…
Sacha Poignonnec: Oh! No, the first one is just – no problem. It's clarifying the impact of the reclassification of the Jumia Global revenues, so remaking the point and re-explaining the reclassification, the upcoming reclassification.
Antoine Maillet-Mezeray: Okay. Okay, so yes. So first, this was not yet included in our financial statement since it was on [past end of March]. And what we’re going to do is that we're going to shift a part of the international logistics revenue from the value-added services account to the fulfillment revenue accounts. So, it's more a matter of reclassification than anything else.
Sarah Simon: Okay. So, we should expect further contraction in value-added services, at least in that bit, but fulfillment would be better?
Antoine Maillet-Mezeray: Yes. 
Sarah Simon: Can you give us an idea of the kind of proportion of value-added services revenue that that represents?
Antoine Maillet-Mezeray: Well, it's a little bit too early to comment on that at this stage. We'll have more clarity at the end of Q2, I guess.
Sarah Simon : Okay, thanks.
Operator: And ladies and gentlemen, this concludes the question …
Sacha Poignonnec: It is something that would not change the gross profit after fulfillments. Right. Sorry, I think Sarah had a question in competition as well. Hopefully after that I will take, and you know, I agree with you, it's a huge benefit for us to the Pan African because, you know, it makes us the natural partner for all the global brands gives us, you know, more economies of scale and also for [talent, mobility] and for de-risking the business as well, right. Because sometimes when you're in a given geography, and the given geography is not going the way you want than you are suffering so much more. So, yes, I think it's been a very good asset for us to have this kind of African presence and it's driving a lot of value. Market share is very hard to measure because no one else publishes data, and we have some competition in free markets namely. And then we have a lot of local players and initiatives. At the moment, we are really focusing on growing the markets, and growing the usage. So, you know, of course, I think all the benefits of being Pan African are paying out and we think we're doing very well, but at the same time, there's really no reliable data on market share. So, right now, we're really focused on driving a lot of consumer usage, and having a lot of users coming to Jumia, a lot of sellers coming to Jumia driving a lot of sufficient, you know, transactions and we think that's the right strategy and that when you do that, ultimately, you're in a good position. So, it's a bit of a vague answer, I’m sorry Sarah, but there is no, really no data on this and, and we're focusing on doing what's right and driving the business forward here.
Operator: Thank you. This concludes the question and answer session. I'd like to turn the conference back over to the management team for any final remarks.
Sacha Poignonnec: Thank you everyone, and as always, we are available if you need any follow up and most importantly, I hope everyone is safe and stay safe. Thank you, guys. Take care. Bye, bye.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.